Operator: Good morning and welcome to Ryder System Incorporated fourth quarter 2007 earnings release conference call. All part lines are in a listen only mode until after the presentation. As a reminder, if you're using a headset or speakerphone, please pickup your handset before asking your question. Today’s call is being recorded. I would like to introduce Mr. Bob Brunn, Vice President of Investor Relations and Public Affairs for Ryder. Mr. Brunn you may begin.
Bob Brunn: Thank you very much, good morning and welcome to Ryder’s fourth quarter 2007 earnings and 2008 business plan conference call. I’d like to begin with a reminder that in this presentation you’ll hear some forward looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management’s current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations due to changes in economic, business, competitive, market, political and regulatory factors. Now detailed information about these factors is contained in this morning’s earnings release and in Ryder’s filings with the Securities and Exchange Commission. Presenting on today’s call are Greg Swienton, Chairman and Chief Executive Officer and Robert Sanchez, Executive VP and Chief Financial Officer. Additionally, Tony Tegnelia, President of US fleet management solutions is on the call today and available for questions following the presentation. With that, let me turn it over to Greg.
Greg Swienton: Thanks Bob and good morning everyone. Today we’ll recap our fourth quarter 2007 results, we’ll provide our outlook for the business in 2008 and as always we’ll open up the call for questions. So let me begin with our fourth quarter results and for those of you who are following along on the presentation, we’ll begin on page 4. Reported net earnings per diluted share were $1.24 for the fourth quarter 2007 as compared to $1.08 in the prior year period. In the fourth quarter 2007, our reported results included a $0.06 benefit related mainly to changes in Canadian tax law. Comparable earnings per share in the quarter therefore were $1.18, up 9% from $1.08 in the prior year. Total revenue for the company was up 5% in the quarter, operating revenue which excludes fuel and subcontracted transportation revenue was up 4% due to contractual revenue growth in all our business segments as well as favorable foreign exchange rate movements. Fleet management total revenue was up 8% while operating revenue was up 3% versus the prior year. Contractual revenue which includes both full service lease and contract maintenance was up 7% reflecting our sales activity over the past few quarters. Full service lease revenue was up 7%. This growth is primarily a result of the continuation of new vehicles being put into service associated with sales contracts signed over the prior couple of quarters. Contract maintenance revenue was up 10% reflecting our increased focus on growing this long term contractual business with customers. Total FMS revenue was impacted by a 21% increase in fuel revenue reflecting higher fuel costs passed through to customers. Foreign exchange rate movements accounted for 2% points of the total 8% revenue growth. A weak freight demand environment during the quarter resulted in a 7% reduction in commercial rental revenue on an 8% smaller global fleet. The fourth quarter decline in rental revenue, however, was significantly less than the 14% decline we experienced during the first nine months of the year. Gains from the sales of used vehicles were down by almost $5 million due to lower pricing on a higher volume of used vehicles sold. The lower gains reflect our decision to sell some additional units at wholesale pricing again this quarter, rather than at our typical retail pricing as we reduced the size of our used inventory significantly during the second half of last year. We not have our rental and used vehicle fleet positioned well and do not expect to continue with this magnitude of wholesale price selling going forward. Net before tax earnings in fleet management were up by 8%. Fleet management earnings as a percent of operating revenue were up by 60 basis points versus 06 to 13.4%. FMS earnings benefited from contractual business performance and lower costs in pension, safety and insurance and sales and marketing areas as well as from a previously announced depreciation policy change. These improvements were partially offset by lower rental and used vehicle sales results. On page 5, turning to the supply chain solutions segment, total revenue was up by 1% and was negatively impacted by a change to net revenue reporting on some business we previously reported on a gross basis. This reporting change did not impact operating revenue. Operating revenue was up by 5%, reflecting the impact of foreign exchange rates as well as new and expanded customer contracts. Growth was partially offset by the previously disclosed closure of a significant automotive plant during the second quarter and reduced activity with certain high tech customers. Fourth quarter net before tax earnings in supply chain were 11% versus prior year. Net before tax earnings as a percent of operating revenue were up 30 basis points to 5.6%. Supply chain’s earnings benefited from improved international results, lower safety and insurance costs and lower incentive based compensation expense. These benefits were partially offset by reduced activity with certain high tech customers. In dedicated contract carriage, total revenue and operating revenue were up 3% primarily due to higher fuel cost pass throughs. DCC volumes were flat on an overall basis. Net before tax earnings in DCC were up by 9% and as a percent of operating revenue, were up by 40 basis points to 8.7%. Earnings increased in the quarter due to improved operating performance with a higher quality portfolio of dedicated contracts. Page 6 highlights key financial statistics for the quarter. Operating revenue and comparable net earnings were both up by 4%. Comparable earnings per share were up by 9% reflecting both net earnings growth and a lower average number of shares outstand due to share repurchases. The average number of diluted shares outstanding for the quarter was down by 3.1 million shares to 58.1 million. A $200 million share repurchase program was announced in May 2007 and was concluded during the third quarter last year. In December 2007, we announced both a $300 million repurchase program and a 2 million share anti-dilutive share repurchase program. No shares have been purchased under these programs since their announcement due to company policy prohibited such purchases during a blackout period for our company. This blackout period will end shortly after today’s earnings release and we expect to then begin repurchases under these programs. At December 31, there were 58 million shares outstanding. Share repurchases resulted in higher interest cost of $2 million for the quarter. The fourth quarter 2007 tax rate of 35.6% includes the benefit of the Canadian tax law change mentioned earlier. The tax rate would have been 38.6% without this benefit. The prior year tax rate of 35.3% in the fourth quarter 2006 reflects benefits from the resolution of various tax audits and true ups in 2006. Page 7 highlights key financial statistics for the full year period. Operating revenue growth was up 4% and comparable net earnings were up by 2%. Comparable earnings per share were $4.21, up 6% from $3.99 in the prior year, reflecting the impact of improved net earnings and share repurchases. Return on capital was 7.4%, down from the prior year reflecting significant spending 2006 for both replacement and growth in lease, a slower rental market in 2007 and our rental fleet reduction activities. I’d like to now turn to page 8 to discuss our fourth quarter results for the business segments. In fleet management solutions, operating revenue was up by 3% driven by 7% contractual revenue growth, partially offset by a 7% decline in the relatively smaller commercial rental product line. Total revenue increased by 8% due both to this operating revenue growth and higher fuel costs passed through to customers. FMS revenue also included a 2% favorable foreign exchange impact. Fleet management solutions earnings were up by $7.8 million or 8%. In lease, we continued solid revenue growth as a result of new vehicles being placed in revenue earning service related to sales made in recent quarters. Miles driver per vehicle per workday on US lease power units were up 6% versus the fourth quarter 2006 and were seasonally down 1% as compared to the previous quarter. Contract maintenance continued the strong performance we’ve seen this year with 10% growth as we continued to have good success in emphasizing sales of this asset light product line. US commercial rental utilization on power units was 76.7%, up almost 500 basis points from 71.8% in the fourth quarter 2006 and up over 350 basis points from 73% in the third quarter 2007. This was due to our actions to reduce the size and change the mix of the rental fleet. The utilization improvement was somewhat ahead of our expectations coming into the quarter and contributed to our better performance versus our fourth quarter forecast. US rental pricing on power units was down by 3% in the fourth quarter compared to the fourth quarter 2006, which is consistent with pricing trends we saw in the prior two quarters. In supply chain solutions, total revenue was up 1% in the quarter and was negatively impacted by a change to net revenue reporting on some business that was previously presented on a gross basis. SCS operating revenue which excludes subcontracted transportation and therefore excludes the impact of this reporting change, was up 5% reflecting the impact of foreign exchange rates as well as new and expanded customer contracts. Operating revenue growth was partially offset by the previously disclosed second quarter shut down of an automotive plant that generated $55-$60 million of annual revenue as well as reduced activity with certain high tech customers. SCS net before tax earnings were up by $1.9 million or 11% for the quarter. Earnings benefitted from improved international results, lower safety and insurance costs and lower incentive based compensation. These improvements were partially offset by reduced activity with certain high tech customers and the automotive plant closure. In dedicated contract carriage, total and operating revenue was up by 3% due to pass through of higher fuel costs. DCC’s net before tax earnings improved by $1 million or 9% due to improved operating performance in the segment. Our total central support services costs were up by $2.4 million due largely to previously announced executive severance. The portion of central support costs allocated to the business segments and included in the segment net earnings were down by 2%. The unallocated share which is shown separately on the P&L increased by 26%, again largely due to the severance item. Comparable net earnings were $68.3 million, up $2.5 million or 4%. Page 9 highlights our full year results by business segment and in the interest of time I won’t review these results in full detail. The comparable full year net earnings were $251.9 million as compared to $245.9 million in the prior year, up $6 million or 2%. At this point I’ll turn the call over to Robert Sanchez, our Chief Financial Officer to cover several financial items beginning with capital expenditures.
Robert Sanchez: Thanks Greg, turning to page 10, full year gross capital expenditures totaled approximately $1.2 billion, down $565 million from the prior year. Lower capital spending was driven by reduced spending on full service lease vehicles of almost $600 million. This lower spending reflects fewer vehicle replacements as well as lower new sales following last year’s pre-buy activity as was anticipated in our business plan. Commercial rental vehicle spending was up $24 million from the prior year. Rental capital spending varied by geographic market with reduced spending in the soft North American market more than offset by the higher spending in the strong UK market. The UK spending also allowed us to refresh the UK rental fleet in 2007 after spending virtually no rental capital there in the prior year. We realized proceeds primarily from sales of revenue earning equipment on a full year basis of $374 million, up by $41 million from the prior year reflecting a higher number of units sold. We also executed a $150 million sale leaseback of revenue earning equipment during the second quarter. Deducting sales proceeds and the sale leaseback from the gross capital spending, our full year net capital expenditures were $671 million, down by approximately $750 million from the prior year. We also spent $75 million on fleet management’s acquisition of Pollock in Canada. Turning to the next page, you’ll see that we generated cash from operating activity of $1.1 billion in full year 2007, up $250 million from the prior year. This increase was due primarily to increased appreciation and changes in working capital. Increased appreciation in 2007 was largely due to the impact of heavy replacement activity and fleet growth in lease that occurred during the prior year. The change in working capital reflects improved accounts receivable collections and lower income tax payments. Including the impact of our used vehicle sales activity and the sale leaseback, we generated almost $1.7 billion of total cash, up $437 million from the prior year. This strong recurring cash generation is important to the business as it supports our future anticipated growth in assets under management. The additional cash generated was used to invest in revenue earning equipment, primarily under long term contracts. Cash payments for capital expenditures were approximately $1.3 billion, down $378 million versus the prior year, reflecting this investment primarily in lease vehicles. Including our capital spending, the company generated $375 million of positive free cash flow this year as compared to using $440 million in 2006. Please note that we’ve adjusted our reporting of free cash flow to exclude acquisition spending as we think this provides a more meaningful picture of cash available for potential acquisitions, dividends and stock buybacks. On page 12, you can see total obligations have increased modestly as compared to year end 2006. The increase debt level is largely due to spending on contractual vehicles, acquisitions and stock repurchases. Ryder’s total obligations of approximately $3 billion are up by $59 million as compared to year end 2006. Balance sheet debt to equity was 147% as compared to 164% at the end of the prior year. Total obligations as a percent of equity at the end of the quarter were 157% versus 168% at the end of 2006. The decline in total obligations to equity was impacted by foreign currency translation adjustments and a reduction in the accumulated pension and equity charge resulting from an increase in the discount rate. Without these items, total obligations to equity would have been 164%. We continue to have a significant balance sheet capacity as the total obligations to equity ratio is 157% is well below our long term target of 250-300% for our current mix of businesses. Our equity balance at the end of the year was almost $1.9 billion, up by $167 million versus year end 2006, reflecting our net earnings, the reduction from pension equity charge and foreign currency translation adjustments, offset by dividends and net share repurchases. At this point, I’ll turn the call back over to Greg to provide an asset management update.
Greg Swienton: Thanks Robert, if you move to page 14, it summarizes our key results in our US asset management area. We sold almost 5,400 used vehicles during the quarter, an increase of 17% from the prior year. We utilized our used vehicles sales centers effectively to sell a substantial number of vehicles at retail prices. As we discussed on our last earnings call, we also executed our plan to sell a number of units at discount price levels to wholesale buyers in order to reduce our used vehicle inventory levels. Primarily as a result of this wholesaling activity and strategy, proceeds for all used tractors sold were down by 12% and for trucks by 13%. Excluding the wholesaling impact, retail market pricing on tractors was down by 3% and on trucks was down by about 1% versus the prior year’s quarter for equivalent vehicles. Retail pricing was unchanged from the third quarter 2007. At quarter end, our used vehicle inventory for sale was approximately 6,400 vehicles, down 15% from 7,600 units at the end of the third quarter. This reflects the large number of units sold during the period as well as the reduction in the number of units moving into the used vehicle sales centers to normalized levels. Our used vehicle inventory for sale at year end is below the target of 7,000 units we had established coming into the quarter. We’re very pleased with our ability to reduce used inventories and are currently very comfortable with this inventory level. As such, going forward, we do not expect to continue the volume of discounted sales to wholesale buyers that we undertook in the second half of 2007. At the end of the year, approximately 6,300 units were classified as no longer earning revenue. This number is down by 1,300 units from the third quarter primarily due to a decrease in the number of units available for sale. Our total US commercial rental fleet size in the fourth quarter was down on average by 12% from the prior year with the power fleet down by 16%. The fleet reduction has done what it was intended to do by significantly improving utilization levels of the rental fleet by 500 basis points in the fourth quarter versus the prior year. Let me move now into a discussion of our 2008 outlook. Starting on page 16 and going through page 18 highlights some of the key assumptions in our 2008 plan and the most likely opportunities and risks for the business related to these assumptions. In terms of the overall environment, generally we foresee a continued soft economy without further significant weakening. Our plan anticipates modest inflation levels and moderate GDP growth. The key risk to our overall economic outlook would be a significant step down in the economy and in transportation activity levels. Our forecast is based on stable real interest rates, however further reductions in the Fed funds rate could have a positive impact on the economy and our performance. We anticipate strong and stable foreign currency markets in our key international marketing and operating areas. A stronger US dollar would have a negative impact primarily on reported revenue from these international markets. As Robert Sanchez will outline shortly, we expect to generate positive free cash flow this year. One of the unique aspects about Ryder is that in a slower economy, we tend to kick off relatively more free cash flow. Should the economy slow beyond our expectations, our free cash flow would likely increase beyond the forecast provided today as customers may defer fleet renewal and expansion decisions and extend the terms of existing lease contracts. On page 17 in fleet management, we have positive contractual revenue momentum going into 2008 through new organic sales closed in 2007 and with the recent acquisition of Pollock and Lily. We continue to focus on customer retention and sales initiatives to grow the rate of customer outsourcing in the segment. Softer than expected freight demand could put pressure on growth through customers downsizing their existing fleets, reducing miles driven and lowering rental demand. Additional tuck in acquisitions however could provide upside to our forecast as only the two recently closed deals are included in our numbers. In the used vehicle sales area, we anticipate generally stable used vehicle pricing and improving vehicle residual values. We’ll also have a low average used vehicle inventory and therefore expect to sell fewer units in 2008. The risk to our projections would most likely come from a decline in used vehicle pricing below our expectations. We also expect to benefit in 2008 from implementation of ongoing maintenance cost initiatives. Turning to the next page on 18, in supply chain and dedicated, we anticipate stable overall volume with our existing customer base and will maintain a strong focus on customer retention and new business development. A weaker than expected economy could result in softer freight demand, decreased volume and plant closures with existing accounts. We’ll be paying close attention to these areas throughout the year and will be implementing appropriate mitigating actions if needed. We expect growth in supply chain to come from growth in new geographic markets, mostly in Latin America and Asia as well as through increased penetration of new customer verticals with the stronger current emphasis being on consumer goods. Stronger than anticipated growth could come from increased organic sales in these areas and or through acquisitions to expand our product offerings or geographic coverage. Finally we plan to make some technology investments in supply chain this year to enhance our current products and help us reduce costs in several areas including back office costs. Page 9, turning to key financial statistics for our 2008 forecast, we expect operating revenue growth of 3-6% for 2008. Sub contracted transportation revenue will be down significantly in 2008 due to a change from gross to net revenue reporting for one significant supply chain customer. We revised the contracts under which we provide service to this customer and this change resulted in Ryder acting as an agent as opposed to a principle for what was $640 million of subcontracted transportation revenue in 2007. This reporting change has no impact on operating revenue or earnings but will result in a reported total revenue decline of 4-7%. Comparable earnings are forecast to grow by 1-4% to a range of $255-$263 million in 2008. Comparable earnings per share are expected to increase by 7-10% to a range of $4.50-$4.65 in 2008 as compared to $4.21 in the prior year. Our average share count is forecast to decline to 56.6 million diluted shares outstanding from 59.8 million in the prior year. The share count decline stems primarily from the rollover impact of the $200 million share repurchase program which was announced and completed in 2007 as well as the new $300 million program announced in December 2007 which we have assumed in the forecast will be partially completed this year. We project the tax rate of 39.1%, up from 37.4% in 2007. As a reminder and as mentioned earlier in this call, in 2007 we benefitted from a Canadian tax law change that reduced our tax rate. Our return on capital is forecast to increase from 7.4% to 7.6% this year due to higher earnings and our asset management actions. The next page, 20, outlines our growth expectations by business segment. In fleet management, operating revenue is forecast to grow by 4%. Operating revenue growth is driven by contractual revenue growth in lease and maintenance of 5%. Commercial rental growth is expected to improve from a decline of 12% in 2007 to a range of being flat to 2% up in 2008. Supply chain operating revenue is expected to grow by 5-10% while dedicated revenue is forecast to grow by 3-5%. These forecasts are based on stable volumes with existing accounts and new outsourcing activity with both existing and new customers as I reviewed earlier. Page 21 provides a waterfall chart outlining the key changes in our comparable EPS forecast from 2007 to 2008. Two items will create headwinds for us this year. In 2007 we had significant benefits from lower incentive based compensation as well as lower safety and insurance costs. While we continue to see favorable safety and insurance results, earnings will not benefit by the same rate as in the prior year. These items will result in additional costs of $0.33 in 2008. Additionally our tax rate will be higher this year resulting in a $0.07 negative impact to earnings. We anticipate improvements in several areas to more than offset these headwinds. Headcount reductions of 300 positions announced last October will result in additional EPS of $0.21 in calendar year 2008. In the asset management area, lower gains from fewer used vehicles sold will be more than offset by reduced carrying costs and a smaller used vehicle inventory. The net benefit of these items is forecast at $0.15. We’ve included a $0.14 EPS increase related to share repurchases. As I mentioned earlier, this includes the rollover impact of the $200 million program completed in 2007 and the impact from partial implementation of the new $300 million program. The acquisitions of Pollock and Lily which were recently closed, are forecast to increase EPS by $0.06 in 2008. We don’t forecast earnings improvements for acquisitions that have not been announced or completed. We expect around $0.03-$0.05 of EPS benefit related to our global retirement plans. This would include costs related to our defined contribution plan into our now frozen US defined benefit plan. Benefits in this area however are expected to be largely offset by a reduced benefit from foreign exchange rates. The remaining improvements in our plan are anticipated to come from revenue growth and operational improvements. We anticipate solid revenue growth in all of our contractual businesses and modest growth in our transactional rental business. We also have a number of process improvement initiatives underway in areas such as maintenance and administration. The net benefit of these items is forecast to be in a range of $0.13-$0.28 per share. Taken together, these items are forecast to result in comparable EPS growth of $0.29-$0.44 or a range of 7-10% improvement for the year for a total EPS in 2008 of $4.50-$4.65. The next page, 22, highlights the margin targets and trends in each of our segments. As you can see there have been significant improvements made since 2001 in all three of our reporting business segments. In 2008, on the basis of segment net before tax earnings to operating revenue, we’re projecting FMS to improve by 50 basis points to 13%. We’re forecasting supply chain margins to increase by 60 basis points to 5.4% and dedicated margins to rise by 30 basis points to 8.9%. I’ll turn it over to Robert again now to cover the next few pages.
Robert Sanchez: Thanks Greg. Page 23 provides some additional detail regarding our capital spending plans. Our capital forecast is comprised of two pieces. Capital that’s spent to replace vehicles which will result in no net increase in revenues and capital spent on growth that will increase the revenue base of the company. In 2008, replacement capital for full service lease is expected to be between $1.02-$1.05 billion, up somewhat from 07 due to the increase turnover in the lease fleet versus prior year. Growth capital for lease is forecast in a range of $100-$170 million. The growth portion of our capital is projected to result in $20-$30 million of higher reported lease revenue in the calendar year of 08. We only capture a portion of the annualized revenue of these sales in the first calendar year. This occurs because the contracts are signed during the course of the year and because of the time lag between the contract signing date and the date the vehicle is delivered from the OEM. On an annualized basis, this growth capital will result in revenue of $40-$60 million which will be earned each year during the average five to six year life of our lease contracts. In commercial rental, total capital is expected to decline from almost $220 million in 2007 to $140 million in 2008. The rental capital spending is entirely for fleet replacements as we anticipate the overall rental fleet size to decline in 2008. Turning to page 24, we’re forecasting total gross capital spending in a range of a little under $1.4-$1.5 billion, up by $190-$290 million from almost $1.2 billion in 2007. In addition to the vehicle spending I outlined, our forecast calls for $130 million in capital for operating property and equipment. This would include spending to support anticipated new contracts in our supply chain business as well as some technology investments. Proceeds from sales of primarily revenue earning equipment are forecast to decline my approximately $40 million to $335 million due to fewer units sold out of a smaller used vehicle inventory this year. As a result, net capital expenditures are forecast at $1.05-$1.15 billion, up by approximately $380-$480 million from the prior year. Assets under management are forecast to grow by 3-4% to approximately $8.3-$8.4 billion in 2008 due to both organic growth and acquisitions. Free cash flow, which under our updated definition excludes the purchase price of acquisitions, is forecast at $185-$220 million. The decline from the prior year’s free cash flow of $375 million is primarily due to a $150 million share leaseback in 2007 which we have not forecast again in 2008. The remaining change in free cash flow is due to higher net capital spending in 2008 which more than offsets improved cash from operating activity. Based on these projections, total obligations to equity are forecast at 158%, roughly flat to prior year end. At this point let me turn the call back over to Greg to review the EPS forecast.
Greg Swienton: Thanks again Robert, turning to page 25, as I previously mentioned our full year 2008 EPS forecast for a range of $4.50-$4.65. We’re also now providing a forecast for the first quarter EPS of $0.84-$0.87 versus a comparable prior year EPS of $0.84. The rate of EPS growth in the first quarter forecast is somewhat below the full year rate due to lower expected used vehicle gains in the first quarter as well as the anticipated timing of share repurchases. Finally turning to the next page, 26, let me briefly summarize the key points in our 2008 plan. We’re strongly focused on continuing the positive momentum we realized last year in increasing growth of our contractual product lines which make up over 90% of the company’s revenue. Even in a softer economic and transportation environment, we’ve had good success in converting customers to an outsourcing solution with Ryder in all of our business segments. Because of the size of the market opportunities available, there is no more important activity underway in our company than continuing to improve our customer retention levels and in winning new business. At the same time, we’ll continue to take the right actions to manage through the cyclical softness with our commercial rental product lines. Because we’re controlling our assets centrally, we’ve been much more effective at identifying and managing the cyclical impacts more quickly than under our prior decentralized structure. Cost controls and business process improvements remain important to realizing our operational and financial goals, but we’re also making investments in selected areas to drive and support future growth. Finally, we have a strong balance sheet and plan to utilize it to support our growth and financial leverage targets. That does conclude our prepared remarks this morning, we had more than a normal amount of material to cover today so our time for questions is somewhat compressed. So in order to be fair, we’d like to ask you to limit your questions to no more than two each so that we can take as many calls as possible. If you then do have additional questions, you’re welcome to get back in the queue and we’ll take as many calls as time allows and we may extend our time just a little bit. And at this time I’ll turn it over to the operator to open up the line for questions.
Operator: Thank you, at this time to ask a question please press star followed by the one on your touchtone phone and record your name when prompted. To withdraw your request, please press star followed by two. Once again to ask a question please press star one at this time. Our first question comes from Ed Wolfe, you may ask your question and please state your company name.
Ed Wolfe – Bear Stearns: Thanks its Ed Wolfe from Bear Stearns. Greg there’s a lot of puts and takes this year with interest expense with rates coming down and with the share repurchase and so forth. Can you give some guidance or Robert on where we should be for interest expense quarterly as we go out and same for depreciation if you have it.
Greg Swienton: You’re right, I think generally there are a lot of puts and takes and there are a lot of moving parts including uncertainty about the economy. We built in certain price levels on stock repurchase, certain amount of speed in covering, certain amount of it this year. We’ve got some interest rates built in. Generally we’ve tried to encapsulate that broadly in that waterfall chart and that’s our best guess as of now. As we get additional data we can clarify that over time. I don’t know Robert if you want to add anything else.
Robert Sanchez: Yeah we have interest expense rising slightly, really rising with the revenue, however with some of the changes that have occurred in the last week in the market I think there could be some additional opportunity there.
Ed Wolfe – Bear Stearns: I’m not sure about the waterfall chart. Are you talking, I mean it was a little less than $40 million in the quarter, you’re seeing it rising off of that a little bit or how do I think about it?
Robert Sanchez: Yes what we’re saying is, is that waterfall, we had some of the benefit of the lower interest, the Fed rate in there, really what was built into the market, but clearly what happened over the last week, there could be some additional opportunity.
Ed Wolfe – Bear Stearns: Okay I’m just not sure what slide you’re talking to? Isn’t it slide 21 that causes the EPS change?
Greg Swienton: Yeah, page 21.
Ed Wolfe – Bear Stearns: And where am I looking in that at…
Greg Swienton: The share repurchase assumptions are what I mentioned because that now has a variance in price target even with price movements today and then the interest rates are probably built into the revenue and operational improvement. That’s why we have some fairly broad variances there.
Ed Wolfe – Bear Stearns: Okay, well lower on this slide, the $0.33, the safety and insurance and incentive comp, can you break out between them and give a little more detail on that?
Greg Swienton: Yeah I think probably about 40% of that number is from safety and insurance. We continue year after year, continue to have improved safety performance and we get the benefit of that in the safety and insurance cost. It was fairly significant in 2007, we don’t think it will necessarily be quite as significant this year. And then the incentive comp is probably the other 50-60% which comes from the fact that that’s sort of a self correcting item in 2007 due to the fact that if we weren’t hitting all of the targets that we set for ourselves, that obviously reduced the incentive comp number in 2007, but if we hit our targets in 2008 we’re going to pay out more in those benefits.
Ed Wolfe – Bear Stearns: Okay and just as the second area, you reduced the fleet by 15%, the fleet of trucks not generating revenue, how do you look at the cost savings from that big reduction as you go out into 08, where do they come from and how much should we think about there?
Greg Swienton: I’ll let Tony Tegnalia comment on that Ed.
Tony Tegnelia: Well also as you can see on the waterfall slide on page 21, a lot of the benefit in the 15% there really is from dramatically reducing the carrying costs of that fleet. Since May of 07 to year end the total asset value of those units not generating revenues has really been cut in half. So the interest expense and the carrying costs for those will be down significantly. So if you see the $0.15 there, it really is that dramatic reduction in the carrying costs to the used inventory level. It’s actually down 40% from the high point in 07 and we also expect that level to be lower pretty much in each quarter as we go throughout 08. And at the end of 08 we plan to have a lower inventory level at the UTCs than we have today as well, so you’ll see the carrying costs continue to come down.
Ed Wolfe – Bear Stearns: Thanks everybody for their time, I’ll get back in line.
Operator: Thank you our next question is from Jon Lagenfeld, you may ask your question, please state your company name.
Jon Lagenfeld – Robert W. Baird: Robert Baird, good morning, thank you. Can you talk a little bit about on the commercial rental side, how you’d expect that division to react if the economy improves. Is that something that you see customers come to early on or is it later after the economy picks up?
Tony Tegnelia: Well Jon, we feel that we’ve done exactly the right thing with our rental fleet going into 08. We’re down about 13% overall in the US with that fleet. We think that is very well right sized as we go into the year. We’ve also dramatically changed more particularly in the mix relative to trucks and tractors. We do have cap ex as you can see for the rental fleet for 08 and we still plan to have the fleet decline by the end of 08. Now if the market turns I know I see that in trucks, also if the market turns, rather than retiring certain vehicles that related to that refreshment with capital expenditures, I can also hold onto those as well. The current plan now though is to refresh only and to have a reduced size of the rental fleet at the end of 08 than we had at the beginning of 08. But if the market is there, first I’ll feel it in price pressure upward which we’ll enjoy very handsomely and then we would just hold onto units currently planning to dispose of. I will tell you though in every quarter of 08 our utilization is planned to be greater than the comparable quarters in 07.
Jon Lagenfeld – Robert W. Baird: Okay, good color and then can you reflect on the pipeline, how does the sales pipeline for FMS and supply chain look today versus where you were going into 2007?
Tony Tegnelia: Jon, this is Tony again for FMS. The pipeline is greater right now than it’s been for the last several years and we’re also very happy particularly about the composition of the pipeline going into 08. There is a greater proportion of it that relates to the larger fleets and national accounts which we really like and there’s also a greater proportion of our prospects in that pipeline that reflect private fleet conversions and as you know that’s a major stated goal of ours, so we like the size of it, we like the composition of it and we feel very confident about that pipeline going into next year. We’ve also held on to our sales force very strongly during 07 with much resolve and they’re very well prepared to carry this pipeline through. We continue to make progress on retention rates and also in closing ratios. So we feel good about the leasing pipeline.
Greg Swienton: On supply chain John I think that we’re probably similar in size to the pipeline we had at the start of 07. It will remain to be seen if customers will be pulling the trigger depending on their confidence and what they’d like to do with their businesses in 08. I would also say that our pipeline is probably stronger from Mexico south in the Latin America than probably a bit of North America based on opportunities and the environment.
Jon Lagenfeld – Robert W. Baird: Thank you.
Operator: Thank you, our next question is from John Larkin, you may ask your question, please state your company name.
John Larkin – Stifel Nicolaus: Thank you operator, good morning gentlemen, John Larkin with Stifel Nicolaus. Do you have a sense for what the other companies in the commercial rental business are doing with their fleet strategies? Are they also downsizing?
Greg Swienton: Well, nobody really knows for sure because they don’t publicly report. I guess all we can do is drive by their lots and see how many are parked. So it’s not very scientific.
John Larkin – Stifel Nicolaus: Okay but would you care to just comment on what you’re learning from your non scientific approach?
Greg Swienton: I’ll let Tony comment on it if he can.
Tony Tegnelia: Well John, as Greg had mentioned in his earlier comments, we did do much more wholesaling in 07 than typically we do. And we went to the auctions and we went to that wholesaling. Their rental vehicles were there as well. I think so for the most part I think they also did compress the size of their fleets and right size their fleets as we did and we did see their units in the marketplace when we went to wholesale. Also consistent with Greg’s point, the pricing softness in the fourth quarter of 07 was exactly comparable to the pricing pretty much in the third quarter as well. So I think overall the marketplace is pretty well right sized and you won’t see continued price deterioration as we go into 08. And the utilization gains that we’re getting are not with reduces prices, they’re with very stable prices. So I think overall we’re pretty well right sized industry wide.
John Larkin – Stifel Nicolaus: Terrific answer, so no worry as you go out a year or two from now and the economy has tightened up a bit that the incremental business will go to somebody who perhaps held onto capacity, that doesn’t seem to be an issue?
Greg Swienton: Well I’ll never say no worry but I do believe that we’ll be ready for either rain or shine as the economy plays its cards out, but we’ll have the trucks when the demand is there.
John Larkin – Stifel Nicolaus: Okay thanks and then second question relates to the acquisitions on the waterfall chart, I guess I was just a little surprised that the acquisitions were only accretive to the tune of $0.06 in 2008 given that Lily and Pollock are both decent sized I guess relative to what is left out there to potentially acquire. Does that represent a maximum level of accretiveness of those deals or could you see them become more accretive in say 2009 and 2010?
Greg Swienton: In both cases we expect greater accretion than in the first year.
John Larkin – Stifel Nicolaus: Okay so the consolidation of service facilities and that sort of thing doesn’t happen in 2008? Is that what you’re saying?
Greg Swienton: Not totally and not immediately.
John Larkin – Stifel Nicolaus: Okay it’s feathered in over the year and would it be completed by the end of 2008?
Greg Swienton: I think within a year or two, yeah.
John Larkin – Stifel Nicolaus: Okay and then just as kind of a follow on to this line of questioning, are these deals that were bought at an auction or were they privately negotiated
Greg Swienton: I wouldn’t disclose and in some cases I really wouldn’t know and since they’re private firms that’s all I’m going to say.
John Larkin – Stifel Nicolaus: Okay, thank you very much.
Operator: Thank you our next question is from Alex Brand, you may ask your question and please state your company name.
Alex Brand – Stephens Inc.: Hey, Stephens, Greg, just following on with that line of question on the acquisition front, it seems like maybe an opportune time to do something outside of FMS. I mean what does the landscape look like in maybe supply chain services, is that perhaps a bigger opportunity there than in the past?
Greg Swienton: Well it’s a bigger opportunity for us because we’re better positioned to even consider such a thing. You know a number of years ago when we were worrying about making the business both profitable and appropriately competitive, it was less on our radar. Now we look at areas that we think make sense of proper size for the things we’d like to add to that portfolio and we do think about things like adding to brokerage and possibly some freight forwarding. They don’t have to be massive in scale, they should be probably something appropriate for the niches that we’re trying to serve. So I would say generally yes to your answer because we think that’s a part of our business that we’ve proven we can manage well. The earnings continue to improve. The operating performance is better. The service to customers is better and we can add some items, some activities there as well.
Alex Brand – Stephens Inc.: And it seems like you’ve sort of prepared for the weak economy. I guess kind of batten down the hatches. You’ve done a good job on cost control. How quick and strong is the leverage to the upside if in fact the economy is improving. I mean is that something you can react to very quickly? And you said when the economy is weak your cash flow gets better. If the economy is strong does that mean your cash flow is going to be potentially weaker?
Greg Swienton: Yes because if the economy is strong and customers are confident, they’re going to be looking for growth and expansions to their fleet and after maybe the initial surge of utilizing commercial rental at the first phase of that ramp up, after a while they’re going to want the value of the longer term leases. When that’s the case and they’re signing contracts, then we’re going to be signing up more assets under management which means we’ll be spending more capital to put that into service. Now the upside is that you have some shorter term less than free cash flow but you’ve got a longer consistent level of assets under management, a higher high quality revenue stream over time and the earnings and the ultimately cash that comes from that.
Alex Brand – Stephens Inc.: But your costs, you’ve got sustainable cost cuts right so you would expect improved margins and higher profitability than you saw in the last cycle for example?
Greg Swienton: Absolutely, I mean the business model changes, the cost models, the process changes, I think all of that has contributed to what you saw in 07 in the fourth quarter that even in a downturning environment, we still are able to have revenue and earnings gains and I think that years of work by a lot of people in our organization have put us in that position and we expect to be able to work through that and prosper reasonably well in a tough environment but even get more leverage when things really turn up.
Alex Brand – Stephens Inc.: Great, good color Greg, thanks.
Operator: Thank you our next question is from John [Minz], you may ask your question and please state your company name.
John [Minz] – BB&T Capital Markets: Hi, it’s BB&T Capital Markets and I’m standing in for John Barnes who had to step away. Given the commercial rental forecast of 0-2%, is that an indication do you think that we’re approaching a bottom in the freight market?
Tony Tegnelia: Yes, we to the earlier discussion that Greg just had, we are prepared for a weak economy and for the most part we anticipate that the revenue in rental will be very flattish as we go into 08 even with a reduced size of the fleet. Generally speaking we’re seeing class A production not grow in 08 whatsoever, pretty much flattish, where it was in 07 which is really down about 50-55% from 06 and we really don’t anticipate significant improvement in freight tonnage in 08 as well. That is our asset management plan as far as our rental fleet is concerned and also as far as our used inventory level is concerned. Nor real change in class A production and pretty much flattish freight tonnage, no growth in freight tonnage. If it’s there and if it comes, we have the resources in the form of cash flow and also the management team in place to take full advantage of the renal utilization. Our rental team which is really put in place since mid 07 is doing an excellent job in driving utilization and we believe that we will be there if freight does turn up. Right now we are planning for no improvement in freight tonnage in 08.
Greg Swienton: As a broader question to answer to your question, I think, are we bottoming out? We think that that may be the case. I think not expecting or absent any significant major shock to the economy, you could probably think in the next two quarters we’re probably bottoming out or flattening. And then in our own case because we’ve had really such a good improvement, I mean 500 basis point improvement in utilization in the fourth quarter, and a 14% decline in revenue last year, we really don’t expect further declines so being flat to maybe up 1-2%, that’s sort of anticipates that without a further shock to the environment or the economy, that’s sort of bottoming out with a little movement up.
John [Minz] – BB&T Capital Markets: Great, thanks for that color and secondly when we look at the SCS restructuring, can you add a little color, give a little bit more on the cost savings you anticipate from that?
Greg Swienton: Actually in our discussion we really never talked a great deal or articulated a lot about talking about cost savings from the redesign. Our emphasis had more to do with providing a consistency across the globe based on the demands and the requirements of our customers. So what we’ve been trying to work toward over the last several years and again took another step recently is to have consistency of global account management, consistency of technology, consistency of applicable services that a client could get the same degree of consistency in contact, reporting, technology, operations anywhere in the world. And that’s really more of what we’ve emphasized as opposed to just pure cost control. I think it’s all a part of improving the overall performance and actual revenue growth of that segment.
John [Minz] – BB&T Capital Markets: Great, thanks a lot, great quarter.
Operator: Thank you our next question is from Todd Fowler, you may ask your question and please state your company name.
Todd Fowler – Keybanc Capital Markets: Good morning, Keybanc Capital Markets. Greg on slide 17 where you go through the FMS assumptions for 2008 on the opportunities and risks side you have the potential for softer freight demand. Some of the things you lay out there, the customer fleet downsizing, the softer rental demand, are those things that you’re seeing right now? I guess it doesn’t really sound like it from the prepared remarks and the miles driven being up in the fourth quarter, but can you talk about your sense for you know laying that out as a risk and what you anticipate as we get into 2008, people renewing their fleets, potentially what could happen there.
Greg Swienton: Yeah on that slide on 17, since we have that sort of as a negative as a risk, that’s just compared with to our baseline assumptions so that if there really were some significant economic and freight declines then what would come of that would be customer fleet downsizing, softening rental demand and fewer miles driven. That is not what we’ve seen in the last quarter, so that is not what we’re anticipating or believing will necessarily be the case going into 2008. That’s just a risk, if something happens after today that we haven’t thought about or known about yet.
Todd Fowler – Keybanc Capital Markets: Okay and then with fleets that have been up for renewal maybe in the last two quarters or so, have you seen any change in what people are doing with their fleet size either positive or negative or is it pretty much just maintaining at the same levels?
Tony Tegnelia: We do continue to see some requests for fleet contraction and we also did experience in 07 some requests for fleet reduction, actually from some very evergreen important accounts that we seized the opportunity to work with them to build a long term relationship. But to Greg’s point, we don’t see that deepening necessarily going into 08. We’ve worked through that in 07, we did have a few customers that asked for reductions, we’ll probably see some of that in 08 as well but we don’t think anything extraordinarily beyond what’s already prepared in this plan.
Greg Swienton: And again, maybe to be somewhat anecdotal, you know as we ended the year and we talk about sales that we’ve made and even our gross sales were a bit stronger than we forecasted but some of the business that kind of turned down was also stronger. You know we try to estimate how are we doing in sales at the end of the year and I think a lot of customers continued to push off decisions, as Tony would say, sometimes those decisions just move to the right or move further out. Yet a few of them sometimes break and sometimes when you think everybody is kind of holding off you’ll get occasionally hear from a customer who says, okay I’m ready. But I think that’s not a major trend. It’s uneven and it depends on the customer and his business.
Todd Fowler – Keybanc Capital Markets: With the fourth quarter results if some of those did move to the right that probably isn’t such a bad thing I guess. Greg can you also talk a little bit about what the impact of foreign exchange was? You talked about it on the top line, what was the impact of the foreign exchange on margins or on earnings before taxes?
Greg Swienton: Yeah well after tax in the fourth quarter it was less than $0.01 and I think for the entirety of 2007 it was maybe $0.02-$0.025 after tax impact.
Todd Fowler – Keybanc Capital Markets: Okay, very good, thanks a lot for the time.
Operator: Thank you our next question is from Art Hatfield, you may ask your question and please state your company name.
Art Hatfield – Morgan, Keegan: Thank you, Morgan, Keegan, morning everybody, I guess afternoon now for you guys. Just a couple quick questions, first Greg if you could a point of clarification. In the press release when you talk about your 08 forecast you mentioned the change in the sub contracted transportation being effective January 1, but you also referred to that impact being the revenue results in Q4. Are those one and the same thing and is that something you had to go back and adjust at the point of that change being made?
Greg Swienton: I’ll let Robert comment on that.
Robert Sanchez: Yeah, the adjustment in the fourth quarter was as we reviewed the different contracts that we had, we did find some that we had been accounting for as gross revenue which really needed to be accounted for on a net basis and we made that change in the fourth quarter. However, we came to the conclusion along with our auditors that it did not have a material impact, clearly no impact on operating revenue and NBT therefore did not do any restateemtn.
Art Hatfield – Morgan, Keegan: Thank you, secondly and I guess broader thinking, in your forecast you estimate that at the end of 2008 that your leverage ratio will be 158%, basically flat year over year and I know you’ve got the goal of getting that up. Does the forecast for 08, is that inclusive of the share repurchases and if so can you talk about anything else that you may be thinking about doing to kind of move that up or are you comfortable leaving that in this area at this point in time?
Greg Swienton: No I wouldn’t say that we’re comfortable and I doubt that a lot of people on the call would be that comfortable if we said we were comfortable with it either. That’s a calculation based on how everything works out and assuming that we do a partial portion of the $300 million share repurchase. It also doesn’t take into consideration any additional acquisitions. Now because of what we know in the pipeline for potential acquisitions, if they happen then that ratio, that leverage will improve. If we don’t have the acquisitions, then our other choice is to actually speed up or do additional share repurchases. So just because that’s the way the numbers work out by the end of the year doesn’t mean that we’re satisfied with that being where we would end up. Our goal is as we’ve said over the next few years to really get to our target.
Art Hatfield – Morgan, Keegan: Okay that was my follow up was would you be disappointed if that [unintelligible]. That’s all I got, thank you.
Operator: Thank you our next question is from Brannon Cook, you may ask your question and please state your company name.
Brannon Cook – J.P. Morgan: Yes, J.P. Morgan. A question on the dedicated business, the pretax income from that segment turned positive year over year in the fourth quarter and one of the things you said was a higher quality of portfolio. Could you give a little more color around what you mean by that and also maybe give an outlook of the pricing environment you see in dedicated.
Greg Swienton: Yeah, over time, I mean over a number of years you sometimes just have a change in the portfolio and some if we are really performing better to the strength of the niches we service that businesses that are retained or business that is added may be stronger than some that falls away just because we’re doing a better job of matching our capabilities to the needs of the customer. So over time as that happens we would just, we’ve just said, that’s really an improving in the portfolio, matches our strength and improves the bottom line performance which is what you saw again in 07 in the fourth quarter.
Brannon Cook – J.P. Morgan: Okay so it’s fair to think about that improvement in the portfolio as being in areas perhaps where you’re a little less competitive with the pure truck load carriers in the dedicated market.
Greg Swienton: Or designs of networks that are perhaps not up to date or don’t have as much value added service as we now provide, sort of those combinations.
Brannon Cook – J.P. Morgan: Okay and my second question was on international SCS revenue growth, it had been a solid area for the company and continues to be an area where I know there’s a lot of opportunity for you. The growth rate slowed a bit in the fourth quarter down to single digit levels. Is that something you think could accelerate looking towards next year or is single digit growth kind or appropriate to think about looking towards 08?
Greg Swienton: Well in 08 we’ve given the range of 5-10% so we still could be at the high end depending on how things go. I think if I found the page in the appendix to the presentation that international still is probably growing a bit stronger than the US, so in combination it came out to 5%. Yeah, on page 31, international operating revenue grew by 7%, US by 4. So international again is still growing more than the US but overall for the two we’re looking at about 5-10 for 08.
Brannon Cook – J.P. Morgan: Thank you.
Operator: Thank you and our final question today is from David Campbell, you may ask your question and please state your company name.
David Campbell – Thompson, Davies & Co.: It’s Thompson, Davies & Co. All my questions have been asked except one and that is, it looks like you restated equipment rental expense in the fourth quarter. You must have reduced it and put some of the expense into the operating category. Could you explain that please?
Robert Sanchez: Yeah that was, you’re exactly right, it was a reclassification of vehicles that we originally had as owner now under an operating revenue agreement.
David Campbell – Thompson, Davies & Co.: Reclassified vehicles. And so do you have restated numbers available for the other three quarters of 07?
Robert Sanchez: Yes we do. Bob will go ahead and provide those to you so if you could just give Bob a call after this call he’ll get those to you.
David Campbell – Thompson, Davies & Co.: Okay will do. Thank you and all my other questions have been answered.
Operator: Thank you I would now like to turn the call over to Mr. Greg Swienton for any closing comments.
Greg Swienton: Alright well I appreciate everyone hanging in there, we took a little more time because we had a longer presentation with the 2008 forecast. So thank you, have a good safe day and enjoy Super Bowl weekend. By now.
Operator: Thank you this concludes today’s conference, thank you for participating, you may disconnect at this time.